Operator: Welcome to the RWE conference call. Michael Muller, CFO of RWE AG, will inform you about the developments in the first quarter of fiscal 2021. I will now hand over to Thomas Denny.
Thomas Denny: Thank you, Relle, and good afternoon, everyone. It seems like only yesterday that we held our call on the report for the 2020 fiscal year, but time marches on. And today, I welcome you to discuss RWE's results for Q1 2021. So what's new? Team RWE is now working in its new management structure. And as such, I would like to say a very warm welcome to you, Michael, Michael Muller, our new CFO. And with this, let's kick it off. Over to you, Michael.
Michael Muller: Yes. Thanks, Thomas, and good afternoon, dear investors and analysts. I'm very pleased to be here today, and I'm looking forward to good discussions with you over the coming years. And I'm especially looking forward to a time where I can meet you all in person. Let's start with Q1. In the first quarter, we made important progress on our long-term growth, but it was overshadowed by the Texas cold snap. This is why the adjusted EBITDA for the RWE group significantly decreased to €900 million compared to last year. We can confirm the outlook for this year and the dividend target of $0.90 per share. Net debt decreased significantly to €2.8 billion at the end of March on the back of margin inflows from hedging and trading activities as well as reduction in pension provisions. A great success for the company and for team RWE were the rating upgrades. Our financial and strategic strength has been acknowledged by both of our rating agencies. At the end of March, Fitch upgraded our rating to BBB+ with a stable outlook. Moody's followed shortly thereafter and upgraded it to Baa2, also with a stable outlook. In the Offshore Wind business, we passed some big milestones in Q1. After being awarded with 2 adjacent sites of, in total, 3 gigawatts at Dogger Bank, we continue our growth story in the U.K. We have taken FID for the Sofia project, our largest project to date, which is located on Dogger Bank, too. I will follow up with some more details shortly. Furthermore, we have been awarded with a 2-sided CfD for our Baltic II project, laying the groundwork for our first Polish offshore project. Sustainability is an essential element of our strategy. We have decided to extend our target of being carbon neutral by 2040. It now includes Scope 1, 2 and 3 emissions. And finally, our green investment under the proposed EU taxonomy amounted to more than 90% in Q1. On Page 4, you will see the Q1 performance on an EBITDA level. The adjusted EBITDA of the core business of €555 million is marked by the Texas gold snap, which led to a loss of around €400 million in the Onshore Wind/Solar division. Overall, both wind divisions have suffered from weaker-than-normal wind conditions in Q1, particularly in contrast to Q1 last year, which was well above average. On the flip side, our Hydro/Biomass/Gas division provides a good and stable earnings contribution. And the Supply & Trading business even topped its previous year's very strong performance. Group adjusted EBITDA, including Coal/ Nuclear, stood at €883 million. With respect to operations, installed capacity stood at 8.9 gigawatts at the end of the quarter, after farm-downs at the Stella, Cranell and Raymond East onshore wind farms in Texas. The farm-down at Raymond West will follow once commissioning is reached in Q2. With 3.7 gigawatts of capacity currently under construction, we are well on track. The residual target to reach more than 13 gigawatts at the end of '22 has shrunk to 400 megawatts. In Q1, we have taken investment decisions relating to 700 megawatts, mostly for projects in North America. More than 1/2 of this is based on solar, partly with co-located storage. Another project is the Blackjack Creek onshore wind farm with a capacity of 240 megawatts located in Texas, U.S. Construction work's already started in Q1 and is due to finish at the end of the year.  We can also give you an update on Rampion. The transaction closed on April 1. We will reflect the additional 20% stake economically and capacity-wise as of Q2. The earnings impact is already considered in our full year guidance.  Let's now take a closer look at the Sofia project. Sofia will break new ground for RWE, establishing our expertise for installing state-of-the-art 14-megawatt turbines. It will also provide valuable insights that we can deploy on our nearby development projects on Dogger Bank. Sofia achieved a strike price for a 2-sided CfD of GBP 39.65/MWh in 2021 -- 2012 prices. And CapEx is about GBP 3 billion. Following the final investment decision, we have contracted further relevant suppliers. Onshore construction work will start in this quarter, and offshore works will follow in 2023. Final project completion is expected by the end of '26. We continue now with a detailed discussion of our Q1 financials. Ladies and gentlemen, wind conditions in Q1 have been much weaker compared to the very strong winds we saw last year. The adjusted EBITDA amounted to €297 million at the end of Q1. Gross cash investments of €724 million are mainly for Triton Knoll construction project. At the end of Q1, 9 of our 90 turbines have been installed at Triton Knoll. Earnings from the commissioning phase are expected to come in gradually throughout the year. Cash investments also include the deposit payment for the recent 3-gigawatt seabed lease awarded in the U.K. We can confirm the outlook for the division of €1.05 billion €1.25 billion for the full year. Moving on to the Onshore Wind/Sola business on Page 8. I touched upon the main drivers earlier, namely the negative one-off linked to the Texas cold snap. Adjusted EBITDA amounted to minus €119 million at the end of Q1. Before we go into the financials, one word on the current situation. We are conducting an analysis of all our markets to see where we might have similar situations like in ERCOT to avoid any repetition. All aspects are being taken into consideration, not only the hedging strategy itself. We are also looking into the entire asset management as well as investment decisions.  Furthermore, RWE Renewables Americas has taken legal actions against the POCT and the responsible transmission network operator, ERCOT. The financial impact of the Texas cold snap is approximately €400 million. The loss is partly offset by a book gain of almost €100 million from the farm-down of 3 U.S. onshore wind farms from the Texas portfolio. Both effects are made transparent as nonrecurring items. The book gain from the Raymond West project would follow after commissioning of the project, which is expected in Q2. In general, the below-normal wind conditions brought earnings down further, for which the additional capacity could not compensate. Gross cash investments were spent mainly on a handful of U.S. construction projects as well as various smaller European projects. And the gross divestment stemmed mainly from the farm-down of the Texas projects. Overall, we can confirm the outlook of €50 million to €250 million for the full year. Our Hydro/Biomass/Gas division benefited year-on-year from higher income from the purchase capacity market. In contrast, we no longer received income from the biomass site in Georgia in Q1 this year, as we had sold the asset in summer last year. The short-term optimization and the day-to-day power plant dispatch performed very well and was on a similar high level to last year. With an adjusted EBITDA of €213 million in Q1, it is almost on the level of last year. Altogether, the division put in a solid performance, and we confirm the guidance for the full year.  Moving on to the Supply & Trading division. The Supply & Trading division has more than succeeded in kicking off this year with a bang, recording an adjusted EBITDA of €189 million. With this earning -- with this, earnings are on par, or even slightly higher year-on-year. I don't have to point out that last year's result was already at an extraordinary strong level. For the full year, we can confirm the outlook for the division. Having now reported on the core business, let's move on to Coal/Nuclear division. Coal/Nuclear had a very good Q1 with an adjusted EBITDA of €328 million. Year-on-year, the division came out as expected with a higher earnings level due to higher realized hedge margins. Costs associated with the German phaseout will gradually increase throughout the year. We can confirm the outlook of €800 million to €900 million for the full year. Moving on to the earnings drivers down to adjusted net income. Adjusted net income amounted to €340 million in Q1, which is in line with the performance of adjusted EBITDA. The adjusted financial result is slightly higher than expected and linked to negative interest as well as valuation effects from derivatives. The adjustments are for tax interests from tax refunds unrelated to the current accounting period, among other things. Adjustment in tax are applied with a general tax rate of 15%. And now on to the adjusted operating cash flow on Page 13. The adjusted operating cash flow describes the impact on net debt from operating activities. It is adjusted for special items and other effects that balance out over time. In Q1, the adjusted operating cash flow of minus €55 million resulted from the change in provisions and noncash items as well as a typical seasonal pattern in working capital due to purchases of CO2 certificates. This was partly compensated by a decrease of gas inventories and accruals at Supply & Trading compared to year-end. For 2021, we expect the cash effect from changes in operating working capital to turn positive. Returning to the details on net debt development. Net debt decreased significantly by €2.8 billion. This is mainly due to timing effects from hedging activities such as variation margins and carbon provisions of €1.5 million. Another driver is the change in provisions by roughly €700 million, resulting from higher discount rates. If commodity prices and interest rates stay -- remain stable, the leverage factor should be well below 3x net debt to core adjusted EBITDA.  Finally, moving on to the outlook of the financial year. As I already said, we can confirm our outlook for this year. Adjusted EBITDA for the core business will come in at €1.8 billion and €2.2 billion. Adjusted EBITDA for the RWE Group [Technical Difficulty].
Operator: [Operator Instructions]. The first question for today comes from the line of Rob Pulleyn from Morgan Stanley.
Robert Pulleyn: And congratulations on the new role. We also look forward to being able to meet you in person. So I have two questions. Firstly, could we -- could you share some views on what's happening in the supply chain and whether some of the inflation and bottlenecks we're seeing around the world could lead to delays in your capacity rollout and in particular, of course, for some of these offshore projects you're building where the price is fixed, but the costs are yet to be realized? The second question, also talking about impact on your -- in your home country, The Green Party seems to be holding pretty well. And there is, I think, growing expectations that coal closure could be brought forward to 2030 or something like this. I'm just wondering if you could provide some sensitivity as to what that might mean for RWE's mining provisions and how they might change.
Michael Muller: Yes. Thanks, Rob, for the questions. First about the supply chain. We currently don't see any impact on the supply chain. And as you said, prices are typically fixed when we take FID. So there shouldn't be any financial impact from the current perspective. Talking about the German discussions. I mean, let me first point out that actually, the discussions are very supportive of our business model. Because as we're now turning towards being a renewable player, that's actually beneficial because the discussion we are now having with the government is, indeed, how can you really accelerate that renewables build-out. And we are talking about questions, how can you provide additional sites? How can you improve approval procedures? How can you ensure that grid access is made available earlier? And we're also talking about topics like security of supply because with a quick build-out of renewables, the issue comes up, how do you manage in Germany security of supply. So therefore, from that point of view, it really provides upside for us. I think the impact on the coal is very difficult to assess, and it's too early to come up with assessment already now.
Operator: The next question comes from the line of Lueder Schumacher from Societe Generale.
Lueder Schumacher: Time flies when you've got three results in one day. First question is on Supply & Trading. I mean, of course, you had another very strong quarter. Now in the report, you mentioned that gas prices and volumes were a very strong factor in the results. Now the average front-month TTF price in Q1 was almost twice the level it was last year. And as we go into Q2, currently the average price is about 4x as high as it was in Q2 last year. So just looking at the commodity side of things, should we expect or could we reasonably expect that the strong performance from Supply & Trading could slip over into Q2? That's my first question. And although there are many more. The second one is on Hydro/Biomass/Gas. I mean, Q1 has been very cold. Wind yields were very poor. Demand for thermal output has been huge. Why didn't we see any kind of benefit in your gas business from that? I mean, flat EBITDA from the division in an operating environment that could not have been more different seems to be a bit odd. If you could elaborate a bit on those 2 points, that would be great.
Michael Muller: Yes. Let's first talk about the Supply & Trading business. I mean, as you know, we don't comment on individual positions that we have taken, and we have benefited from. So therefore, I can't tell you anything about this one. And also, during the quarters, we typically don't give any guidance on the upcoming quarter. But I can confirm it's still moving in the right direction, the business. So we are happy with the development also in Q2 so far. With respect to the Hydro/Biomass/Gas business. I mean, you have to recall that at least if you look at the U.K., about 1/3 of the income is from wholesale market, around 1/3 comes from ancillary services and 1/3 comes from capacity payments. And indeed, we are seeing that in the first quarter, there was some scarcity. So we did make some good earnings from ancillary services and also short-term optimization. Yes, the overall effect, especially because of the other elements, is there, but not so significant. Yes. And as we also commented, compared to previous year, we also lost on the Georgia biomass plant, which was still in the numbers of last year's quarter 1.
Lueder Schumacher: Okay. So maybe as I only got part of an answer to the first question. Maybe I can ask one follow-up one. On economic net debt. How much of the €2.8 billion of net debt is due to the variation margin and CO2 provisions? The delta in Q1 was €1.5 billion, as you say, on Slide 14. But what is the total amount now?
Michael Muller: Sorry, I mean, you now took the try -- the chance to ask another question, but apologies, we don't comment on the exact positions we have there.
Operator: The next question comes from the line of Deepa Venkateswaran from Bernstein.
Deepa Venkateswaran: I going to ask a follow-up on the supply chain and commodity escalation point of view more broadly, not necessarily just your portfolio. So wanted to understand, obviously, you've taken FID for your largest projects already, and it's already under construction, and there's only residual €400 million for next 400 megawatt. But more broadly, for the upcoming auctions, et cetera, what are you seeing in terms of the pricing you're getting from the turbine suppliers, et cetera? And would you generally be passing on these commodity increases as you're negotiating PPAs, et cetera? So that's one. And then the second question is on the broader restructuring of your lignite division. Clearly, the coal/lignite exposure is an overhang on ESG. So was wondering if there have been any other further discussions? Or do you think that a future green government might be more inclined to support that perhaps in return for an accelerated exit? Anything you can kind of comment on that would be helpful.
Michael Muller: Yes. Deepa, on your first question around prices. I mean, as I said, we typically lock in the prices before we take FID. For the other auctions, obviously, when you prepare for CfDs, you obviously have all the contracts in place. So you also know about the prices and you incorporate that into the bidding process. Actually, we currently, as far as I know, don't see any significant impact yet. But if it would be there, I would expect that this would be across the industry, and therefore, eventually then also bring up prices that are required for others to bid in those auctions. So therefore, currently, no impact. I mean, if we talk about general inflation, obviously, general inflation should bring up commodity prices, and that in the end would also then elevate the price levels you can make then on power prices. To your second question, I mean, as I said, I think the first discussion we need to have in Germany is really about how to accelerate the build-out of renewables. Because what we're already now seeing is that our lignite power plants, even in a situation with high CO2 prices and lower gas prices, are still operating, and they are operating in those areas where there isn't sufficient feed in from the renewables. And that situation will last. So therefore, irrespectively, if you talk to the conservatives or the Social Democratics or the Greens or the Liberals, the discussions we are having with them is always how can we accelerate the build-out of renewables in Germany because that's the essential key to take any further steps than potentially also on coal.
Deepa Venkateswaran: And what might be needed to actually accelerate it? Is it just permitting? Or what do you think will unlock the [indiscernible] investment?
Michael Muller: It's different topics. So there was actually a study by BCG commented in the German media today, which talked about doubling the build-out of renewables until 2030. And if you want to double that, that starts with -- we need to have additional site -- I mean, talking about Germany, we need to have additional sites offshore. We need to have grid connections to really get the power from the coastline into the -- distributed into the consumer centers. A big topic is approval, especially of onshore wind. So discussions the Greens are, for example, having is if you potentially kind of group certain areas where you say, here, you care about natural protection. And while in other areas, you have a standard approach that is simplified. And we're also talking about kind of boundary transitions that are required to meet if you want to erect a wind farm. So it's really a mixture of multiple things, and that's why we believe also the new government really needs to take a holistic approach and take a bold move on this one in order to accelerate renewables build-out. But I think important for that is, in the end, we are now really seen as a trusted partner by the German government and the politicians. So they are engaging in the discussions with us because they're seeing us as a facilitator to that energy transition. And therefore, it's also providing nice investment opportunities for us going forward.
Operator: The next question comes from the line of Peter Bisztyga from Bank of America Securities.
Peter Bisztyga: So two questions from me, please. Firstly, just looking at recent moves in wholesale power prices. I was wondering if you could remind us how many terawatt hours of merchant power price exposure you have in your hydro and renewables business in the U.K. and Europe. And also what your sort of typical hedging strategy is for that? And if I may, just sort of add to that question, could you maybe tell us how many additional merchant terawatt hours you're going to get as your German offshore in Paris roll out over the next couple of years? And then my second question was just going back to an earlier one on coal. And it's to ask sort of how protected are you under the legal contracts that you've signed with the government with respect to compensation for any costs that you might incur with The Greens' push for a 2030 exit?
Michael Muller: Yes. Let's start first with the first question. I think more important than the terawatt itself is really what is our position there. And if you talk about the hydro -- Hydro/Biomass/Gas position, it is mainly a spread position. And therefore, the spread position, as such, is not really impacted by rising outright prices, yes. So therefore, the situation hasn't changed so much. To talk about renewables. As we communicated, about 1/3 of our position is outright. And that is actually also what we aspire going forward. So that's the mix. We also see so no changes here. I mean the last question around -- I guess you're talking about the €2.6 billion reimbursement that we're getting for the early closure. I think we have communicated that we have signed the contract, there is a law in place, and it's currently under analysis by the European competition authorities. That's a process that will take some time, but we are confident to be successful in keeping that payment.
Peter Bisztyga: If I may, sort of my question sort of was really more if Greens pushed for a -- let's say, successfully pushed for a 2030 exit, then clearly, that will mean additional costs for you over and above that €2.6 billion. Is there protection from that in those contracts? Or is that a potential risk?
Michael Muller: Yes. But Peter, that first needs to be seen. And as I said, I think the politicians are well aware they first need to solve the issue around building out renewables. And then we need to see what happens next. And that's pure speculation at the current -- currently.
Operator: The next question comes from the line of Olly Jeffery from Deutsche Bank.
Olly Jeffery: So two questions, please. The first one is you benefited significantly in Q1 from positive variation margin inflows and CO2 provisions for €1.5 billion. Carbon jumped €10 in Q1. It's jumped €10 so far in Q2. So can you give some guidance or view of what kind of improvement you've seen so far in Q2 on variation margin inflows? Also what kind of variation margin outflows you're seeing for the entirety of the year? That's the first question. And the second one just following up on the last question that was asked. My understanding with the contract that was signed with the government, if the European Commission comes back and blocks the €2.6 billion mining compensation, the German government will -- is committed to enter negotiations, come up with a solution to the same economic outcome. Do you think that will still be the case with a government led by The Green Party? Are you confident that the government will deal with you in the same way?
Michael Muller: Yes. First one of your questions, you're right, margin inflows from hedging and provisions was €1.5 billion in the first quarter. If we -- if prices would stay at that level, we would see a slight improvement towards the end of the year and then about a median €3 million digit number outflow in the next year. I mean, looking at April, you're right, prices rise again by another €10. Yes, probably in the order of magnitude of €1 billion could be expected. But we all know that's very much dependent on commodity prices, and that can highly vary until we see the other half of Q2. Next question around the €2.6 billion compensation. We're pretty confident with our position here. And in the end, let's first wait if there are some topics to be discussed [Technical Difficulty] in sticking to the agreement, because, I mean, bear in mind, we already closed 1 plant, 1 unit will close, another 7 units in the upcoming 21 months. So it's also for a potential Green government leading in exactly the right direction. Anything else at the current time, it's -- current moment is difficult to judge. But we're very confident with the numbers.
Operator: The next question comes from the line of Piotr Dzieciolowski from Citi.
Piotr Dzieciolowski: I have two questions, please. And the first one would be on the contribution of the pipeline under construction, you say in your release that you're going to commission 2 gigawatts. How much, if you can say is -- how much contribution is embedded within your guidance for this year? And also, can you say a little bit about the scope effect for between 2021, 2020, is there a big difference because of your disposals and small acquisition? So that's the first question. And the second. There was a discussion some time ago. You commented that Germany may need some gas projects to kind of cope with volatility of the system. And I wanted to ask if RWE is preparing on such projects? And how many -- how would they work?
Michael Muller: Maybe I answer the first question, and then maybe you could repeat once more the second question. I mean, of course, our guidance includes all the growth programs that we have ahead of us. So also the '21 and '22 guidance that we gave out for the segments includes the growth programs that we announced last year at the Capital Markets Day. And maybe you could repeat once more the second question because we couldn't hear...
Piotr Dzieciolowski: But on the first question, you don't want to say the number, how much is embedded like in €1 million amount?
Michael Muller: No, we don't comment on how much is included from year by year. And maybe you can pick that up later in more detail. But generally, you know that we still expect to commission about 2 gigawatts for the current year, and all of that is embedded in our guidance for the full year.
Piotr Dzieciolowski: And the second question was about the kind of -- do you work on any of the gas-fired turbine projects that could be needed in the future years when all of this reliable capacity is decommissioned in Germany? And if so, how many of the kind of gigawatt or project -- number of projects you're working on at the moment?
Michael Muller: Well, I mean, first of all, you know that we just successfully started construction in Biblis for a gas-fired unit to provide ancillary services to the grid operator. So that's currently under construction. We are also developing options on other sites, but it's too early to yet talk about concrete numbers and also potential investments. Because as I said, these are only discussions that are just kicking off with the German government. And I don't expect -- I mean, election is in September. Before the coalition has formed -- that's probably discussions we'll have beginning of next year. So as you can imagine, we are obviously preparing internally and also thinking about option sites, these kind of things. But it's too early to talk already about concrete projects.
Operator: [Operator Instructions]. Our next question comes from the line of Elchin Mammadov from Bloomberg Intelligence.
Elchin Mammadov: I have two, please. The first one, going back to your equipment cost given the rising commodity prices. Is it plausible to think that even if commodity prices keep rising, you could pressure the supply for non-FID projects to find some efficiencies and whatnot and not have the increased cost of equipment? Or is the market for turbines and solar panels is tightened and you have less room for negotiations? So this is the first question. The second question is, again, going back to margin. The spark spreads have significantly declined this year, I mean, partly due to the higher carbon cost. How do you think they're going to develop in the next year or two, in your opinion?
Michael Muller: So I didn't get the second question, which commodity you were talking about?
Elchin Mammadov: The spark spreads. So for gas-fired power fleet, yes. Yes. So they have significantly deteriorated this year. So I was wondering what's your outlook for next year or 2.
Michael Muller: Yes. Okay. First, on the equipment, I mean, bear in mind, when we take an investment decision, obviously, there are multiple components that need to be considered. I mean you talk about what are the feed-in tariffs, what are price expectations beyond that period, what are O&M contracts, what are availabilities, so technical aspects. So equipment costs, obviously, are a driver, but there are also other ones. And as I said, we don't see yet a big impact yet. So yes, I think for the time being, that's nothing which concerns us with respect to taking future FIDs. With the spark spreads, you are indeed right. They have come down lately. I mean with respect to our fleet, we are hedged for '21, also almost hedged for '22. And for '23, spark spreads are down, but -- I mean, they're also pretty volatile. And in the end, as I said, some assets need to operate. So therefore, let's see in which direction they are developing.
Operator: We have a follow-up question now coming from the line of Rob Pulleyn from Morgan Stanley.
Robert Pulleyn: I thought I would rejoin the queue just for one more. It would be great just to hear your perspectives, given it's the first time we get to ask you these questions. And given your former role, what your view is on long-term power prices, particularly, for example, in the U.K. given you've got Triton Knoll, Sofia and the seabed acreage near the Dogger Bank? What sort of price system or price do you expect once the CfDs end as you look ahead on this U.K. portfolio of yours?
Michael Muller: Rob, obviously, we don't comment kind of on our long-term price forecast. But I mean, what I can share, obviously, is more general, what are kind of the main value drivers you were talking about. I mean, clearly, it depends on the renewables build-out, so what are your expectations on the build-out. It's the question then around capacity. So how much -- I mean, in the U.K., it's clear you have a capacity market. But if you, for example, talk about Germany, the question is when these capacity markets kick in because they significantly impact volatility and therefore, also those earnings. You're talking about gas prices going forward, CO2 prices. So it's a whole bunch of drivers that we're looking into. And as I said, a concrete number and outlook, unfortunately, I can't share in that -- conference here.
Operator: We do have another follow-up question, and that comes from the line of Olly Jeffery from Deutsche Bank.
Olly Jeffery: Just a few other questions with the opportunity. So one very simple. One is, can you just confirm the adjusted net income figure for the full year will include the book gain? Or will it -- yes, will it include the book gain? So your targeted adjusted net income for the full year? That's question one. And the second one is just going back to Texas freeze. Can you say, yes, from the review that you've been done, just given that, that was quite a -- a significant negative result within the U.S.? What practical lessons have been learned from that, that have been rolled out around the rest of the world in terms of how you hedge and manage that exposure? [indiscernible] practically applying anything yet to ensure that, that type of thing won't happen again in the future? Or are you still going through a review process?
Michael Muller: Yes, Olly. So the first one was on the book gain. I can confirm that's included in the guidance. And around Texas, we're still in the process of assessing that. So I can't share any insight yet.
Operator: There are no further questions in the queue. So I'll hand the call back to our speakers for concluding remarks.
Thomas Denny: Great. Thanks, Relle, and thank you all for dialing in. If you have any further questions after the call, you know that the IR team is at your disposal. And I'd like to say thank you to you, Michael, and thank you to all of you for dialing in today. Have a good day. Stay safe and sound. Bye-bye.
Michael Muller: Bye.
Operator: Thank you for joining today's call. You may now disconnect. Hosts, please stay on the line and await further instructions.